Michael Preuss: [Interpreted] Good morning, ladies and gentlemen, and welcome to our financial news conference. [indiscernible] financial news conference here at the Baykomm in Leverkusen. And to follow the news conference, please choose channel #2 on your translation device. [Interpreted] Wonderful that you're here in Leverkusen this morning. Thank you for coming. And also against the backdrop around the coronavirus, as you may have heard, there is a suspected case here in Leverkusen. One of our employees here may be infected with the virus, but I've just heard good news that this has not been confirmed. The employee has not been confirmed as suffering from the coronavirus. Nonetheless, I hope that she gets well real soon. Now nonetheless, we've discussed this intensely also considering corona, and we thought about whether this should be a live news conference or should it be a webcast. We decided that since the assessment of the authorities is as it is, we decided to have a live news conference. We also have journalists who are not with us here in person. They're following us by webcast, and they will also be able to ask questions by webcast. So I'd like to welcome them here as well too. Irrespective of all of this, this news conference is taking place for the first time in this room in the Baykomm, and I hope that you feel at home here. And we also want to have this event without any interruptions, so I would like to ask you to switch off your cellphones. As you know, the Board at Bayer AG now consists of 5 members, and I'd like to introduce them to you and tell you what their field of responsibility is. I'd like to begin with Liam Condon. He is Head of the Crop Science division. And for Liam, this is a very special day for him with having a press conference. It's also his birthday. And he had such a good time here on his birthday last year, we decided to celebrate his birthday again with a great press conference. All the very best to you. Happy birthday, Liam. And then I'd like to welcome the CEO at Bayer AG, Werner Baumann. He also took on responsibility for HR and sustainability. He's also Labor Director at labor AG (sic) [ Bayer AG ]. And then we have Wolfgang Nickl. He's the CFO at Bayer AG. And next to him, we have Stefan Oelrich. He is head of the Pharmaceuticals division. And also Heiko Schipper. He is responsible for Consumer Health. So those are the Board members. And now let me tell you how the news conference is going to proceed. We'll be hearing from the CEO, Werner Baumann. He'll be giving us an overview of business in 2019, and he'll be talking about what we'll be focusing on in 2020. Then we'll hear from our CFO, Wolfgang Nickl. He'll be giving us more details on the KPIs and an outlook for 2020. After that, we will have the entire Board available to answer any of your questions. So now I'd like to hand over to Werner Baumann.
Werner Baumann: [Interpreted] Thank you very much, Michael. Ladies and gentlemen, welcome to our financial news conference here in Baykomm, also on behalf of the members of the Board. And we are very pleased to be able to present our 2019 results to you, and of course, we look forward to responding to all of your questions afterwards. If I look back at 2019 today, then I would say that 2019 can be summed up in just a few words, that we have delivered. And you will remember that, just over a year ago, in December 2018, we had our Capital Markets Day. And we communicated ambitious targets and spoke about strategic levers there such as sustainability. Now just before this Capital Markets Day, we had announced an extensive package of measures regarding our portfolio, our structures and our efficiencies to put Bayer in a good position for the future. And now a little more than a year later, I can say that we have made good on all of our promises. So that firstly applies to the operational business. We achieved our financial targets last year despite the fact that we had a very challenging market environment in the agricultural sector in particular, but I will go into more detail about that later. We also delivered on the portfolio measures that we announced. Our Animal Health business is to be sold to Elanco for $7.6 billion, and we expect the closing of this transaction in mid-2020. And in 2019, we also successfully divested our stake in the site services provider Currenta and also sold off Dr. Scholl's and Coppertone. All of these portfolio measures have been announced in December 2018, and we were actually able to implement these measures earlier than expected. And even more importantly, the divestment proceeds were in some cases very attractive for our company. We also delivered on the efficiency and structural measures. Wolfgang Nickl will give you an update on this shortly as to the implementation status of our ongoing programs. He'll also go into a little more detail about the progress that we've made with the integration of our agricultural business in 2019. We also had already spoken about the importance of sustainability when we completed the acquisition in 2018. We said we would apply the same determination to achieving our sustainability goals as we do to reaching our financial targets, and here too we have delivered. We considerably stepped up our sustainability efforts in 2019 and set ourselves ambitious targets, and I shall also go into more detail about these issues later. However, at the same time, we have shown in 2019 what makes us special as a science company. We firmly believe that with our products, our scientific expertise and our innovation capabilities, the innovation capabilities of our employees, we can make a real difference to people's lives. And that is why last year, we invested EUR 5.3 billion in research and development. And incidentally, that is a record sum. For over 150 years, Bayer has been a science-based company, but never before has so much been invested in research and development as last year. Today, of course, we want to focus in particular on our financial targets, so I shall now move on straightaway to the development of our business last year.  In 2019, the Bayer Group posted sales of EUR 43.5 billion. And so after adjusting for special items, EBITDA, namely our earnings before interest, taxes, depreciation and amortization, this amounted to EUR 11.5 billion, which is the highest figure that Bayer has ever achieved. On the slide, you can see the double-digit growth compared to 2018. And of course, here a major factor is that the former Monsanto business has belonged to Bayer since June 2018. This means that 2019 was the first time the acquired business had been included in Crop Science for the full year, but even without this effect, we can see major progress. Sales rose by 3.5% after adjusting for currency and portfolio effects. EBIT increased to EUR 4.2 billion after net special charges of EUR 2.8 billion. Core earnings per share advanced in 2019 to EUR 6.40, and this was driven by the earnings contribution from the acquired agricultural -- agriculture business and the positive business development at Pharmaceuticals. And Wolfgang Nickl will run you through these business developments in just a moment. But first of all, I would like to look again at the forecasts that we presented for 2019 and also look at what we have delivered there. Exactly a year ago, we announced our financial targets for 2019. And at the time, that still included the business units Animal Health and the interest in Currenta, Coppertone and Dr. Scholl's. Once the sale of these businesses had been agreed in the course of the year, we adjusted the full year forecasts in October to reflect these technical effects and based it on the prevailing exchange rates. And today, we can say that we have certainly achieved all of these targets. And that means that we can put 3 green ticks by our 3 key indicators: sales, EBITDA before special items and core earnings per share. And I would say that this is very good news, especially given the headwinds that we have encountered. For example, if we think about the repercussions of the trade dispute between the U.S.A. and China or also the extreme climate and weather events across the world that have directly impacted our customers' harvests and therefore also our own business. So in short, we stood up very well in a challenging environment. For Bayer, the results that we are presenting to you today are an important signal of our operational strength and also a sign of our dependability and dependability of our entire organization. We obviously will also ensure that our stockholders have an appropriate share in this success, and that is why we propose to the Annual Stockholders' Meeting a dividend of EUR 2.8 per share to be paid for 2019. The dividend payout ratio of around 44% of core earnings per share is above the target corridor of 30% to 40%, and it also takes into account the success of the portfolio measures for our owners. And that brings us now to the figures for the divisions, and Wolfgang will present these to us now.
Wolfgang Nickl: [Interpreted] Thank you very much, Werner. Ladies and gentlemen, a warm welcome from me here in Leverkusen as well. Before I talk about the business developments and the divisions in 2019 as a whole, I'd like to report briefly on the figures for the fourth quarter. And after that, I'll comment on some other indicators for 2019, and I'll also talk about the forecast for the current year. Please note that when I talk about sales and sales growth, I'm referring here to results that have been adjusted for currency and portfolio effects. Group sales in the fourth quarter came in at EUR 10.8 billion. That's up 3.4% against the prior year period, so the business as a whole developed positively in the fourth quarter. EBITDA before special items also moved higher to EUR 2.5 billion. That's an increase of 26.4%. In particular, our agricultural and pharmaceutical businesses achieved significant earnings growth. Core earnings per share advanced by 22.9% in the fourth quarter to EUR 1.29. Now I'll explain how the businesses of the divisions developed over the full year. Let's start with our agriculture business. The Crop Science division posted sales of EUR 19.8 billion last year. That's an increase of 1.4%. Sales growth at Crop Science was driven mainly by the positive business development in Latin America. Sales in this region rose by 9.4% to EUR 5.1 billion mainly as a result of price increases and higher volumes for Fungicides in Brazil. Business in North America was at the prior year level despite adverse weather conditions in the Midwestern United States in the first half of the year. Here the Corn Seed & Traits business developed positively. Sales were down, however, in the Europe, Middle East, Africa and Asia Pacific regions. Periods of drought in countries such as Australia and the African swine fever were among the factors that contributed to the negative sales trend. EBITDA before special items at Crop Science climbed in 2019 by around 81% to EUR 4.8 billion. The increase was primarily attributable to the earnings contribution from the acquired business and cost synergies from the integration. However, the absence of the earnings contribution from the businesses divested to BASF, a higher cost of goods sold and a negative currency effect of EUR 24 million, along with the weather conditions I already mentioned, had an opposite effect. Now let's move on to Pharmaceuticals. Sales at this division rose by 5.6% in 2019 to EUR 18 billion. The main drivers here were, on the one hand, the continuing strong growth in China; and on the other hand, the sales gains for our anticoagulant Xarelto and the eye medicine Eylea. The encouraging development of the radiology business also made a positive contribution. Sales of Xarelto again advanced strongly, to reach EUR 4.1 billion. That was an increase of approximately 13% against the prior year which was mainly due to higher volumes in China, Russia and Europe. For Eylea as well, we recorded an approximately 13% rise in sales to EUR 2.5 billion. We grew the business mainly in the Europe, Middle East, Africa regions and especially in the United Kingdom and Germany. Japan also contributed to the higher sales. EBITDA before special items at Pharmaceuticals rose by 6.7% in 2019 to EUR 6 billion. The positive earnings development was primarily due to higher volumes and a lower cost of goods sold. Earnings were diminished, however, by increased selling expenses for product launches and new indications, along with a negative currency effect of EUR 32 million. Now we come to the Consumer Health division. Sales of our self-care products rose by 2.6% in 2019 to EUR 5.5 billion. In North America, we saw the beginning of a recovery in the second half of the year following a weak first half. We registered pleasing growth especially in the allergy and cold category, thanks to higher volumes for our antihistamine Claritin. In the other regions, we succeeded in growing the business, thanks in part to an improved supply situation. EBITDA before special items at Consumer Health in 2019 came in level with the previous year at EUR 1.1 billion. Earnings benefited particularly from the launch of our efficiency program, which led to a drop in selling expenses. In addition, we recorded a positive currency effect of EUR 16 million. Earnings were held back by the absence of the contribution from the divested prescription dermatology business. And now I'd like to explain some more financial indicators for the Bayer Group for the full year 2019. Let's start with cash flow. Cash flow from operating activities increased from EUR 7.9 billion in 2018 to EUR 8.2 billion in 2019. Capital expenditure for property, plant and equipment and for intangible assets increased only marginally year-on-year. Net interest payments, on the other hand, increased significantly. Overall free cash flow for the past year amounted to EUR 4.2 billion. That's well above the EUR 3 billion to EUR 4 billion we had originally anticipated. The decline compared to the previous year is mainly due to the fact that the free cash flow for 2019 includes 12 months of acquisition-related financing costs against only 6 months in the prior year. In light of this, we're very satisfied with the development of the free cash flow. And that also applies to our net financial debt, which stood at EUR 34.1 billion at the end of last year. This was EUR 1.6 billion less than at the end of 2018. Here the cash inflows from the operational business and the divestments stood against cash outflows for dividend payments; negative currency effects; and the impact of the new financial reporting standard IFRS 16, which was applied for the first time. The principal effect of applying the standard for the first time was the addition of around EUR 900 million in lease liabilities. We will continue to place the same priority as before on quickly deleveraging our statement of financial position. Total assets remained at around the prior year level and amounted to EUR 126.3 billion on December 31, 2019. Equity rose against the previous year by EUR 1.4 billion to EUR 47.5 billion, largely in view of the increase in total comprehensive income. The equity ratio rose to approximately 38% as of December 31, 2019. The debt ratio declined accordingly, falling from around 64% to around 62%. The main effects came from the redemption of bonds and from the sale of our stake in Currenta and the associated derecognition of pension provisions. And now I'd like to talk about how far we've come with the implementation of our efficiency and structural measures. As already announced, we expect the efficiency and structural measures to result in annual gross contributions of EUR 2.6 billion from the year 2022, including the planned synergies from the integration in the agriculture business. In 2019, we had already achieved 30% of that amount. We're progressing faster than planned both with the costs and synergies at Crop Science and with the other efficiency and structural measures. On this basis, we can now reconfirm the savings targets for 2022 that we communicated previously. We will use part of the freed-up resources to further strengthen our growth potential and our innovation capabilities. For example, in the years from 2019 to 2022, we're planning to invest well over EUR 30 billion in the company's future, with more than 2/3 of this going towards research and development. Ladies and gentlemen, now let me move on to our expectations and forecast for the current year and the current -- forecast for 2020. We believe that our company will continue to achieve profitable growth this year. On this basis, we expect our key financial indicators to develop positively. We have adjusted the forecasts for currency effects to improve comparability. We expect sales this year to come in at between EUR 44 billion and EUR 45 billion. This corresponds to growth of between 3% and 4% after adjusting for portfolio changes and currency effects. We expect EBITDA before special items in 2020 to post a significant increase to between EUR 12.3 billion and EUR 12.6 billion. This would raise the EBITDA margin before special items to around 28%. Core earnings per share are anticipated to come in this year at between EUR 7 and EUR 7.20, in line with an expected increase of up to 13% in earnings per share. Please remember that this assumption is based on constant exchange rates and reflects our current continuing operations without Animal Health. Based on a strong operational performance, we expect free cash flow to increase to approximately EUR 5 billion. This represents an increase of about 19%. This forecast makes it clear that we aim to continue on a path of growth beyond 2019, and that's exactly what we announced at the Capital Markets Day just over a year ago. Looking at the divisions, we expect our agriculture business to advance by about 4% after adjusting for currency and portfolio effects. Here we anticipate further synergies from the acquired business, sales growth from new products and a recovery in North America following the adverse weather conditions in 2019. At Pharmaceuticals, we predict adjusted sales growth of between 3% and 4% that will continue to be driven by increases for Xarelto and Eylea. We expect sales at Consumer Health to increase by between 2% and 3% in 2020, adjusted for currency and portfolio effects. All regions will contribute to this growth. Now let's look at the EBITDA margin before special items in the divisions. Due to the portfolio changes and a significant simplification of our internal processes, we have adjusted the group's value flows for 2020. To ensure comparability, we have therefore also adjusted the 29 (sic) [ 2019 ] results to reflect this new method. In 2020, we expect the EBITDA margins before special items and currency effects to improve in all divisions, in some cases substantially. Before concluding, I'd like to refer to our forecast does not include any estimates of the potential effects of the coronavirus outbreak. The initial focus for us in recent weeks has been on humanitarian aid for people in China. We've donated important medicines, and our colleagues in China have helped to ensure that the donations reach doctors and hospitals. It's encouraging to see how our products are supporting the fight against the coronavirus. We will be able to assess the potential impact of the outbreak on our business after the end of the first quarter. And with that, I'd like to thank you for your attention; and hand over to you again, Werner.
Werner Baumann: [Interpreted] Thank you very much, Wolfgang. Ladies and gentlemen, as you know, the litigation concerning our glyphosate active ingredient was unfortunately among the major topics at Bayer in 2019 even if we would have wished that to have been otherwise, so let me briefly sum up the current situation for you. Firstly, glyphosate has always been safe when used as directed, and it still is. This has been confirmed time and again by leading regulatory authorities worldwide. As recently as in January 2020, the U.S. Environmental Protection Agency, the EPA, announced the result of a new safety evaluation of glyphosate based on a more than 10-year expert review process. And the EPA once again concluded that, and I quote, "It did not identify any human health risks from exposure to glyphosate." The number of lawsuits relating to glyphosate has again risen in recent months, and as of February 6, 2020, lawsuits from approximately 48,600 plaintiffs have been served in the United States. In October last year, the number was around 42,700. As you know, there are now 3 trial juries in California which have found in favor of the respective plaintiffs in the first instance. None of these verdicts is final. We are currently in appeal proceedings in all 3 cases. In a recent court filing concerning 1 of the trials, the U.S. government expressed its explicit support for key elements of our reasoning. As I have already mentioned, we will pursue the 3 appeals through all judicial instances, if necessary. In parallel with this vigorous defense in court, Bayer continues to constructively engage in the ongoing mediation proceedings. There has been much speculation in recent weeks about the nature, timing and amount of a possible settlement. I'm sure that you will understand that we do not wish to participate in such speculation. The parties have agreed to keep the discussions confidential, and we are, of course, abiding by this agreement. As regard to U.S. litigations, I would also like to comment briefly on dicamba. We disagree with the jury verdict on dicamba issued about 2 weeks ago and will swiftly appeal this decision. Of course, at Bayer, we know very well what crop losses mean for a farmer. Many employees in our Crop Science division work day in, day out to prevent exactly that. But in these legal proceedings no competent evidence was presented to show that dicamba was present at all on the farm concerned or that it was responsible for the crop losses. Therefore, we will now respond accordingly and appeal the verdict. Ladies and gentlemen, sustainability was a major topic at Bayer last year. We dealt with this matter at great length, posing the question as to what a company as large as ours, which plays such a significant role in areas such as health and nutrition that are so centrally important to people, do to make an even bigger contribution to sustainable development. We provided specific answers in December when we communicated an extensive package of measures and what I believe to be ambitious sustainability targets. We were able to build on a very good foundation. The Carbon Disclosure Project has just given its -- given us its top rating once again in both the climate change and the water security categories, and incidentally we're the only DAX company to achieve that. Nevertheless, we know that our responsibility as a company has increased, and so have society's expectations. And that is why we've made sustainability one of Bayer's strategic levers. There is one crucial point to be made here. I'm sometimes asked what this focus on sustainability is costing us. The answer is quite simple. We intend to earn money with sustainable solutions, and in my view, that has to be the way forward. Industry must succeed in combining sustainability with profitability. Only then can we achieve the transformation toward a sustainable future. Bayer is in a better position than many other companies to make a tangible and measurable contribution to the achievement of the United Nations Sustainable Development Goals because our portfolio is fundamentally aligned toward health and nutrition, and we have leading businesses in both areas. That is why our new sustainability targets are so specific and ambitious. By 2030, we aim to support 100 million smallholder farmers in low- and middle-income countries by providing access to more innovations, knowledge and partnerships. Within the same time frame, we intend to give 100 million women in low- and middle-income countries access to responsible family planning. We intend to do this by providing financial support for aid programs and by ensuring the supply of affordable modern contraceptives. Furthermore, by 2030, we plan to expand access to everyday health products for 100 million people in underserved communities around the world. Our sustainability targets are also a driving force for climate protection. We have set ourselves the specific target of becoming 100% carbon neutral in our own operations by 2030. To accomplish this, we will invest in energy efficiency, switch to renewable electricity and offset the remaining emissions through biodiversity-enhancing carbon capture. At the same time, we are working together with our customers and our suppliers along the entire value chain to reduce their emissions and establish sustainable solutions there as well. We believe that innovations in agriculture have a particularly important part to play in ensuring a sustainable future. We are pursuing our sustainability targets with the same vigor as our financial targets, and we will therefore propose to the Annual Stockholders' Meeting in April that the sustainability target to be integrated into the compensation system for the Board of Management. We intend to contribute to the realization of the sustainability development goals that the United Nations have set for 2030, especially the goals of ensuring a healthy life for everyone and putting an end to hunger. Health for all, hunger for none. That is our vision at Bayer. It's the great goal that we're working to achieve, however distant it may be. We firmly believe that with our scientific expertise and our innovation capabilities, we can contribute to preventing or even curing diseases, to improving people's everyday health and feeding the world's growing population while at the same time operating sustainably. That is the thinking that will shape our company and power it forward in the coming years. Ladies and gentlemen, let me now come to the end of my remarks. Wolfgang and I have shown you that we kept our promises for 2019. Our more than 100,000 colleagues worldwide worked very hard over the past year to meet the expectations of our stockholders and of our other stakeholders in society. Both are of paramount importance to us. And they can continue to rely on Bayer in 2020 and beyond. We say what we do and we do what we say. That applies, above all, to our focus on customer and patient satisfaction because that is what we are judged on every day and rightly so. It applies to the continued implementation of our portfolio efficiency and structural measures in the years through 2022, including the planned synergies from the acquired business. And it applies to further establishing sustainability as an integral part of our business and continuing to strengthen our innovation capabilities and our growth potential. Thank you very much for your attention. And my colleagues and I now look forward to your questions. Thank you.
Michael Preuss: [Interpreted] Thank you very much, Werner Baumann and Wolfgang Nickl, for your presentations. You now have the opportunity to ask questions, so please show if you would like to ask a question. Please wait until a microphone comes to you and then we can hear you better in the room and our colleagues following us via webcast can hear you as well. We will conclude this at 11:50 at the latest. We have more than an hour for the Q&A session. The first question I see is [ Ms. Weiss ], with the black microphone.
Unknown Attendee: [Interpreted] I have 3 questions. I understand you say it's difficult to comment at present on questions of coming up with a comprehensive solution when it comes to coming up perhaps with a settlement. How can that be achieved? Glyphosate is on the market. I think that you will say that you will be giving up business with private customers. Is that what's been speculated? And then what settlement amount would you say would no longer make any sense? And can you give us any more information on the situation there?
Werner Baumann: [Interpreted] [ Ms. Weiss ], okay, let me try to answer your 3 questions. We, as I said, are discussing this as part of the mediation proceedings. We've said a number of times that if possible, we would like to come up with a conclusive solution for this whole question. Of course, a lot of different aspects are involved between the different parties, things that are now under discussion, but due to the confidentiality of the discussions, I cannot comment on any of that right now. We all know that in the media you've been able to see certain speculations. And we also know about speculations regarding the question of Roundup in the hobby and gardening area, but I cannot comment on that, as I said. The same applies -- and I hope that you can understand, this also applies to the amount of a settlement. There have been speculations out there, but I really can only repeat what I've said before. At this point, we cannot comment on this. And of course, as I said, we are in negotiations. These things are under discussion, and that is the current status. That's all I can tell you. Now for Elliott and for all of the other shareholders, we have been discussing this with all of our shareholders. And in individual cases we've had individual discussions, but we do not take any specific statement here. So in other words, we discussed this. We have a dialogue with all of our shareholders.
Michael Preuss: [Interpreted] Okay. The next question is Mr. Geisler. He too has the black microphone.
Hendrik Geisler;Kölner Stadt-Anzeiger;Editor: [Interpreted] Hendrik Geisler from Kölner Stadt-Anzeiger. I have 3 questions, too. On the efficiency program, what about job cuts in Germany? I've heard 4,500 jobs are to be cut. How many of them have already been carried out? And how many have entered into partial retirement or early retirement? How many have accepted this possibility? And my second question is you talk about sustainability targets. Could you tell us the extent of this? What will you be proposing to the shareholders? To what extent, what is the amount of these sustainability goals? And then Xarelto and Eylea, 37% of the pharmaceutical sales were achieved by these 2 products. Both patents, I think, will be expiring in either 2025 or '26. Could you explain to us how you want to compensate for that?
Michael Preuss: [Interpreted] Right. Thank you very much, Mr. Geisler. The first question will be taken by Wolfgang Nickl on Xarelto and Eylea. Stefan Oelrich will be dealing with that as well, on the third question.
Wolfgang Nickl: [Interpreted] Okay. Thank you very much for your question, Mr. Geisler, on the efficiency programs and how we're doing there. Let me say a total of EUR 2.6 billion, that is our target, and we are doing very well. 30% has been realized. That was last year. And this year, we want to achieve another -- a total of 50%. At the Capital Market Days, we talked about 30% for 2020, but we are doing very well. And we expect to achieve these targets. As far as personnel, all of the programs will amount to about 12,000 colleagues worldwide. 4,500 of those will be in Germany. In 2019, the headcount worldwide was reduced by about 4,000, and it was about 650 here in Germany. Again, we are active worldwide, and we want to make this as fair and socially compatible. And in Germany, of course, we have attractive programs. And we also have a company agreement, and this is to guarantee the future. It's called 2025. And this is what we would like to explicitly say and that this would not be achieved via redundancies. So the program is making quicker progress than expected. We're very happy.
Michael Preuss: [Interpreted] Stefan?
Stefan Oelrich: [Interpreted] On Xarelto and Eylea. The development of these 2 medications is very, very good. For the past year, for 2019, we had record results with both products. At the -- when you talk about the expiration of the patents, well, let me put it this way. It's not something that is going to happen right away. We assume that in the years to come we will continue to have profitable growth for Xarelto and Eylea. And I can also report that we have a whole series of new products that have been launched the last 1.5 years. Four new products have been launched in oncology but also in hemophilia and [ trades ] such as [indiscernible] or also Jivi for hemophilia. So we also have other products in the pipeline in cardiovascular medicine. We can also see that we are at the late phase for 2 important products. We announced a few weeks ago that we have positive results, preliminary results, in a large Phase III study. We hope the drug will be approved. It's a product to treat cardiac insufficiency, and we also expect data for finerenone by the end of the year. This is for renal insufficiency, and we see that this is a great potential that we see. And this is a low therapy standard at the present time. So in earlier phases in cardiology we also have some very promising products for anticoagulation. And this is something that we have been very successful with Xarelto. We have 3 products now which are -- all 3 of them are now in Phase II. So we are in progressed clinical development for all 3 products, so we are very optimistic. And when it comes to oncology, we have made good progress here as well, the launch of Nubeqa [indiscernible]. These are the early results here are in accordance with our expectations. And that's why we are very well positioned there. And if we talk in the longer term, then we also have some products in the early pipeline. And we have strengthened our position in business development and licensing. And there, too, we're very, very active. Last year, BlueRock was acquired, and here we will have a cell and genetic engineering activity. This is a Boston-based company where we have some very promising first initial approaches for treating Parkinson's disease. And we hope that this year, we will get the approval to start clinical studies. So all in all, we can sum it up by saying that the patent expiration is not going to happen right away for these 2 major products. And there is still time left. We will make use of this time. And we also have some very attractive options.
Michael Preuss: [Interpreted] Thank you very much, Wolfgang and Stefan.
Werner Baumann: [Interpreted] Regarding how the sustainability goals will be incorporated into our compensation program. Well, first of all, for 2020, we have allocated some of the short-term remuneration into the road map for 2030. So as of 2021, we will also go into the remuneration system with a contribution of 20% for the performance factor for long-term remuneration. So that system will be proposed to the Annual Stakeholders' Meeting. Regarding long-term remuneration, there will be a number of adjustments, which will also be presented to the Annual Stockholders' Meeting. There will be a performance factor which as of 2021 will be composed of 3 parts: on the one hand, relative performance of a euro stock; second, the achievement of certain ROCE goals, so they will have a weighting of 40% each, and then 20% weighting is proposed for the achievement of sustainability goals.
Michael Preuss: [Interpreted] Very well. The next questions from Ms. Höning.
Antje Höning;Rheinische Post;Editorial Department Head: [Interpreted] I also have 3 questions. On the one hand, job cuts. Mr. Nickl, you were talking about positions that are being reduced, but I am talking about the people at the sites. So could you tell us a little more in detail as to how many jobs will be cut in Leverkusen, insofar as you already know, and how the other reductions will be distributed across Germany? The second question, Mr. Baumann, we heard Mr. Wenning's announcement that he will be leaving the company yesterday. So how do you feel without his support? Will times become more challenging from -- for you? And then thirdly, I would like to know the situation at the plants in China and Italy.
Werner Baumann: [Interpreted] Well, Wolfgang, would you like to address the first question? And I will deal with the other 2.
Wolfgang Nickl: [Interpreted] Yes. Well, we have never gone into more detail by plant for the job cuts, but you can assume that those plants where we have larger populations will be affected, for example, Berlin, Leverkusen. You have seen in IT that there has been a certain amount of outsourcing, and that predominantly will affect Berlin and Leverkusen. Also in pharma, we're talking about 400 colleagues and in Berlin as well. In Wuppertal, we managed to create a lot of new positions there as well for the discontinuation of the plant there. So yes, I hope you can understand that I can't give you more detail about the figures there.
Werner Baumann: [Interpreted] Thank you, Wolfgang. Ms. Höning, on your second question regarding Mr. Wenning as the head of the Supervisory Board, who has now announced that he will be leaving. And as you said, this is an era that is coming to an end due to the length of time that he was involved with the company and made his mark in various areas. So as of the 29th of April, we will have Professor Winkeljohann taking over for Mr. Wenning. And of course, the Board of Management has been made aware of this as well and of the new composition of the Supervisory Board. And the Supervisory Board will continue to support the Board of Management and monitor the Board of Management, and so really this is business as usual. That is the task of such a committee of the Supervisory Board, which is composed of 20 members, who each of them in their role in the Supervisory Board have a responsibility towards the owners of the company and the shareholders. Regarding the coronavirus. There was an announcement yesterday that there was a suspected infection here in Leverkusen, but Mr. Preuss has already referred to this briefly this morning, namely that this suspected case, thankfully, has not been confirmed for our colleague in China. As far as I'm aware, we have just one case amongst our ranks. And we are affected in our activities in China, but I think we have only had 1 case of corona in particular in China and nothing in Italy.
Michael Preuss: [Interpreted] So then we have a question coming from The Wall Street Journal via the webcast, a couple of questions regarding the coronavirus. There are concerns that there might be supply problems with medications for people in China. How do you estimate this? Do you -- what measures are you going to take to counteract that? And what effect has this had on Bayer and on the business? And what do you expect the effect might be in the coming months?
Werner Baumann: [Interpreted] Well, I will try and respond to this, Ms. Bender. I think like most pharmaceuticals companies, we are dependent on materials coming from China. But the question is how quickly there may be supply disruptions in our supply chain for these pre products. And as of what stage will we see these actual effects on the market, we are currently not in a position to make specific statements on this. And Wolfgang Nickl has already referred to this in his presentation. It is simply too early to make specific statements. Our pharma production in Beijing is running as normal. And our crop production, just to refer to this incidentally as well, it's -- well, there was a slight disruption there, but since the 10th of February, that has been restored as normal. And our logistics change -- chains have perhaps been affected to an extent for our consumer because one of our partners which -- runs a large distribution center in the affected areas, but it is, like I say, far too early to make any specific statements on this. The situation is far too volatile at the moment. And as always, there are some negative and some positive effects here, so we will try and reflect this in the quarterly report in the first quarter in more detail, hopefully also with a better perspective for the entire year 2020.
Michael Preuss: [Interpreted] Okay, we shall return to the room. [ Ms. Dorstad ], with the blue microphone.
Unknown Attendee: [Interpreted] I have a question on the dicamba ruling. Can you break this down, perhaps, how much would be for Bayer and how much for BASF? Or do you have to figure out that yourselves yet? And then when you talked about the earnings in the agricultural area, you talked about the dicamba plant, that there were some major problems there. What kind of a plant is it? When was it opened? Do you expect further depreciation there? And you also said that EUR 30 billion will be invested for the future, 2/3 in R&D. What is the rest of that going to be used for? And if you do not give us information on the content, maybe you can give us a time line for the settlement discussions. Will this be before the shareholders' meeting, or will it take longer than that?
Werner Baumann: [Interpreted] Thank you very much, [ Ms. Dorstad ], for your questions. First of all, on dicamba. This is a judgment in the first instance. And we consider the situation that led to this incorrect judgment, I must say. And we will be launching an appeal, our attorneys and the attorneys at BASF. We are being sued jointly. And we've analyzed this very carefully with our lawyers, and usually a minimum requirement is needed before something to go before the courts. You have to have proof of damage, and this has not been provided, as I told you before. So the first thing is that we will enter the post-trial motions in the next, let's say, 4 weeks. We will comment on that very clearly and position ourselves and then go into the next instances. And I'm sure, as part of these discussions, there will also be a discussion as to, if it goes that far, and that's something that I want to make very clear, the judgments both when it comes to damages and criminal judgments are unsubstantiated. We and BSAF (sic) [ BASF ] will also discuss the splitting up of this and discuss this. A second point on dicamba: This is a new plant which was a Monsanto plant, commissioned by Monsanto. And it is under construction. It will still be completed. And the depreciation which has been undertaken is around $550 million, and this would be the depreciation of the remaining book value. And here, the volumes for which the plant was constructed, this is something which will not be achieved. And that's why -- if we consider the assessment and the capacities that were considered, and that is where the depreciation was made. The final point is the EUR 30 billion investments for the future. These relate to 2/3 R&D, as you said. And the third 1/3 will be investments in intangible assets and plant and equipment and property; in other words, intangible assets, for example, in-licensing, et cetera.
Michael Preuss: [Interpreted] And the time line...
Werner Baumann: [Interpreted] Sorry. I forgot that, the time line. We are negotiating within the mediation discussions in order to come up with a result that is acceptable for us. So if we take certain deadlines and accept certain deadlines, most likely we will not come up with the optimal result for our company and for our shareholders. That's why we will continue to negotiate until we can come up with a result which is acceptable for us in terms of this mediation. So there is no specific time line.
Michael Preuss: [Interpreted] Okay. The next one is [ Mr. Frantof ], with the blue microphone. And I'll read out the list. Then we have Mr. Loh, [ Mr. Boge ], [ Mr. Schulter ] [ Mr. Ackerman ], [ Mr. Schroeder ] and then [ Ms. Becker ].
Unknown Attendee: [Interpreted] I have a couple of questions that have already been asked, but I have 2 left. In the annual report and glyphosate, there might be increased financial requirements, which could lead to a capital increase or divesting of certain assets. I just read about that. Now is this something which you're seeing as a great risk, or are you just considering these things? The second question is you talk about Mr. Strenger, and you agreed on a special voluntary audit. Maybe you could give us some information on why you decided to go ahead with that. And what do you expect as a result of this special audit?
Werner Baumann: [Interpreted] Well, thank you very much. Wolfgang Nickl will ask -- answer the first part of your question, and I'll take the second part.
Wolfgang Nickl: [Interpreted] Thank you, [ Mr. Frantof ]. Yes, this was a risk that was referred to. You have to talk about all theoretical possibilities irrespective of the probability. We, of course, talk about certain possible payments and how they would be made. And we also -- let me give you some data. At the Capital Market Day, we said that for the next 4 years, '19 to '22, 2019 to '22, about EUR 23 billion will be generated in free cash flow. That's our target. That was including Animal Health and Currenta, so it will be somewhat less. And we also said that we would also be achieving this by means of M&A and reducing debt and dividends. We have certain possibilities for controlling this, but we also have significant earnings from our divestitures. As we heard this morning, the gross proceeds from the Elanco transaction, this is variable, but it will be somewhere around EUR 9.3 billion. So we see that there is some flexibility that we have out there. And if there are any delays, for example, then of course, we still have the possibility to take on some bridging loans. And we have banking partners, all sorts of banks that we can work with.
Werner Baumann: [Interpreted] Thank you very much, Wolfgang. I'd like to answer your question relating to the agreement with Mr. Strenger. Last year -- and he requested a special audit. It was not successful at the shareholders' meeting last year. We discussed the topic with him and came up with an agreement, and we would have a voluntary special audit. And he then selected a special auditor as part of the contractual obligations that we entered into. We agreed to have an independent lawyer from a very well-known law firm in the United States. And an expert opinion was drawn up when Monsanto was acquired, and this was with regard to glufosate (sic) [ glyphosate ]. And this was also reviewed once again, and the 2 expert opinions that were drawn up last year by Linklaters and Professor Habersack. And as part of the review of the due diligence by Board of Management, this is something that was also carried out in a longer version. So that's basically the work that is being done now. And initial results with regard to the review of the glyphosate opinion has been made available. And the results of the special audit from Professor Böcking in Frankfurt is not yet ready, but we expect it in the next couple of weeks, and then of course it will be published in full.
Michael Preuss: [Interpreted] Okay. The next question will be Mr. Loh, with the black microphone.
Tim Loh;Bloomberg;Reporter: [Interpreted] Mr. Baumann, you already commented on Werner Wenning. I just wanted to ask a question about that. What have you learned from him over the years? And if you look forward, working with someone new in the chair of the Supervisory Board, what kind of advantages do you see? Mr. Winkeljohann was not involved in the acquisition of Monsanto, for instance.
Werner Baumann: [Interpreted] Right, Mr. Loh, thank you for your question. Well, I think if you read Mr. Wenning's CV and the whole length of his profession, there's a lot that can be said, and I think we wouldn't have enough time at this press conference to go into all those details. Mr. Wenning has had lots of positions in this company. He's very familiar with our company. And as Chair of the Supervisory Board, he is very much involved in a number of different areas. And he has a very great amount of knowledge and experience in the discussions on the Supervisory Board. Of course, he was CFO, he was CEO, and he was also -- this was mentioned in the press, he was also involved in corporate governance. He was a member of a number of different committees as an expert. He's also active in many other companies, Siemens, the Deutsche Bank, Henkel or even at E.ON. He has had very important positions in Supervisory Board committees. So as I said, I don't think that there are very many chairs of supervisory boards with such great experience. So we as a company benefited from him up until the very end of his term of office, up until the Annual Shareholders' Meeting. Professor Winkeljohann. Well, his profile is different. He is the first Chairman coming from outside the company to serve as Chairman of the Supervisory Board. He's elected by the Board. And this will be at the end of the Annual Shareholders' Meeting is when he will take over the chair. He has other qualities, and this is on the basis of his CV. He has a great organization. The European organization of PwC, not only in auditing but also in consulting. He has a lot of experience in digitalization. And I think we can also benefit from him and learn from his expertise, as we have in the past but even more so now. And I'm sure that, due to his management experience, he will also be chairing the Supervisory Board, and he will also in terms of the shareholders' representatives and the employees' representatives. I'm sure he will be an excellent Chair. And we are looking forward to the new era that will begin at Bayer when he assumes the chairmanship of the Supervisory Board. We are very grateful to the many years that Mr. Wenning has given to us, serving our company. And he has supported all of us throughout.
Michael Preuss: [Interpreted] The next question from [ Mr. Boge ], also with the black microphone, please.
Unknown Attendee: [Interpreted] I think most of the questions have already been answered. I just wanted to briefly refer to the actual debt figures which were stated as the goal for 2020. I think it was EUR 27 billion. So that is explicitly without a settlement, or could that also be with a settlement? And then secondly, there is an indication of a share buyback program in the annual report that was also alluded to in last year. So is that a serious intention? And then thirdly, which products are available from Bayer to fight coronavirus?
Unknown Executive: [Interpreted] I shall deal with the first 2 questions, and I think the third question will be dealt with by Stefan. Yes, that was a correct appraisal of the situation. The EUR 27 billion net financing debt do not consider any potential settlement. So that was a correct understanding. Share buybacks, at our Capital Market Day in December 2018, we said that from the earnings coming from the divestment we could envisage share buybacks because we see that, that is an excellent investment, but we're always talking about after debt reduction. So we have to look at the earnings contributions to remain at the same leverage. And so therefore we have to also activate this from debt reduction. We have left this option open. Of course, we have to consider all factors. If this money then does come in, we have to consider a potential settlement and other investments. So we will make that decision at the time. At the moment, I will say that this is rather improbable that we will soon make any share buybacks. Stefan?
Stefan Oelrich: [Interpreted] Well, regarding the effectiveness of Bayer products in the fight against corona, well, we don't have any medications which are directly authorized for this that are currently on the market. Nevertheless, there are certain Bayer products which could be used additionally. For example, antibiotics, they would help patients, in particular, with respiratory problems. And they would also help to strengthen the immune system. Furthermore, the Chinese authorities have already been carrying out tests on a number of medications as to whether there are additional indications which are not currently covered by their authorizations. And they are basically experimental statements that are being made there. That is the only kind of statement that can be made. It is difficult from our perspective to share those statements. And with our donations, we have provided support, for example, with Avelox in China, which is a fluoroquinolone antibiotic. We have also provided support with the supply of a product which is usually used for the prevention of malaria, which is called Resochin. It is a somewhat older medication, but we carried out tests with it. And certain Chinese authorities said that the effectiveness was probable, but that has to be approached with caution. Because we have also been in touch with the respective authorities here in Europe, also with hospitals here in Germany to see whether that knowledge can also be incorporated into treatment here.
Michael Preuss: [Interpreted] Thank you. We shall now move over to [ Mr. Schulter ].
Unknown Attendee: [Interpreted] Yes. I also wanted to ask the question about any medications that Bayer are looking at and any vaccinations. Mr. Oelrich, you mentioned on medication that is no longer being produced. Is there any information that this production could be resumed if it could at least be used as an additional treatment against corona? Or are you involved in any other research programs, for example, for vaccinations?
Stefan Oelrich: [Interpreted] Well, first of all, Resochin. The only site where we produce Resochin is in Pakistan. And given the fact that it is a generic active ingredient which can also be sourced from other places, we, when looking forward, decided to cease production there. And so therefore, we wouldn't actually have any other plants where we could produce this. I think in China alone we have 3 qualified production sites, which are now ramping up the production of that product and the generic product. We were the first that were able to do that. And we have reacted immediately and also produced a special batch and delivered that to China. Regarding corona, we have also been looking at other existing products. And it is a very interesting research approach because this is the first time, if you will, that we can use accelerated artificial intelligence because we can look at what could theoretically work chemically. And so I wouldn't say that these are completely random hits, but we're getting a couple of good hits from our portfolio. But I'm very cautious about going public on this because we want to avoid any potential incorrect treatment. So we are talking to the respective responsible bodies in German hospitals and with the federal government of Germany to exchange and share this information. This doesn't only apply to Bayer but also to all other research and pharmaceutical institutions and companies.
Michael Preuss: [Interpreted] Thank you very much, Stefan. Okay, the next question, from [ Mr. Ackerman ].
Unknown Attendee: [Interpreted] [ Martin Ackerman ] from V -- WDR Studio in Wuppertal. Two weeks ago, you announced that you have -- you want to initiate a new research institute in Berlin with Nuvisan with 400 new jobs. What will happen with the pharmaceutical site in Wuppertal? Are you intending to reduce capacities there? Or will they be maintained? Or what plans do you have for the pharmaceuticals research site in Wuppertal? And last year, you built a new building for EUR 300 million. 300 employees were intended to work there. This has not yet been taken into operation, so what are your plans in that regard? And then regarding HR, again, what is the current situation in the Wuppertal and Leverkusen plants regarding job cuts?
Unknown Attendee: [Interpreted] Well, Stefan Oelrich will respond to the first 2 questions, [ Mr. Ackerman ], but the last question, I don't think we can provide you with any details on a plant-based level at the moment.
Stefan Oelrich: [Interpreted] Well, regarding Nuvisan and Wuppertal, first of all, I'm very pleased that we succeeded in arranging and agreeing on a deal with Nuvisan. And this is an important part of our research, which we had first earmarked for maintaining any jobs that were possibly going to be cut and also in strengthening our Berlin site. So this is a very good partnership that we will be embarking on with Nuvisan. And regarding Wuppertal, the delays with the building being taken into operation there, it's very disappointing for us. This is nothing to do with any job cuts. It is simply a delay of planning there. So this new research building will be opened, and that underscores our confidence and trust and our outlook for the Wuppertal plant. Wuppertal is our largest research site worldwide for Bayer. It is also the home of our cardiovascular research. And as you perhaps heard earlier, we are still putting a lot of faith in cardio for the future and therefore also in Wuppertal.
Michael Preuss: [Interpreted] Thank you, Stefan. Okay. The next question, from [ Mr. Schroeder ].
Unknown Attendee: [Interpreted] I would be interested in hearing what you think the impact will be on the image when it comes to glyphosate. Will it damage the reputation, and to what extent? And is this something that is going to position Bayer as a sustainable company? Aren't you under pressure in trying to wrap this up as quickly as possible, to come to an agreement as quickly as possible? Maybe you can also tell us why you are not setting up any provisions for payments of damages. I'd also like to know what significance glyphosate has for the Crop Science business at present. And what about if the approval were not to be extended in the EU, what kind of impact would that have? And do you have a substitute for it?
Werner Baumann: [Interpreted] Thank you, [ Mr. Schroeder ]. Well, I'll take the first 2 questions, at least I'll try to answer to them. Wolfgang Nickl will then comment on the question related to provisions and glyphosate and the EU approval and the relevance of glyphosate and a possible substitute. Well, the image: Of course, this is an issue for us. In some markets, as a result of all of the lawsuits and the attention given to us by the media as a result of these lawsuits, of course, this has had an impact on our image and reputation. But if you take it into more detail, you will see that this is something which is only seen in certain markets, and the 2 markets we're talking about now in particular are Germany and France. In other markets -- a large market for us where we employ 9,500 employees. And the -- we were the third largest company in this market, in China. Here, in the same period of time, we had an increase and an improvement of our image and reputation, though we have a number of other countries or markets where our image and reputation remains stable. This includes a market such as the United States. You can see that, behind you, you will see some posters from our campaign in Germany. You can see in the foyer [Foreign Language]. And here we are talking about discussing this with our employees. Why do they come here to work every day, to work in the lab or in their office or in the plant? It has very little to do with the negative aspects and the impact on our reputation. We see, and I'd just like to emphasize this point, these lawsuits are a result of the American legal system. All these lawsuits have nothing to do with safety or responsibility vis-à-vis consumers and our customers. No, these lawsuits are the result primarily of the United States legal system. And you can see this in a number of different areas worldwide. This has been a confirmation of the fact that glyphosate is a safe product. It's an independent confirmation of our position by the regulatory authorities worldwide. And our final point, the EPA, the environmental protection agency, as I said, gave us an unlimited certification of safety. That was in January of this year. So I think even the slightest doubt with regard to this assessment, this would then mean limitations in the use of the product in the gardening area. But no, the EPA has given us full confirmation of the current status of the product. So I think here these 2 things need to be seen separately. And that brings me to your second question with regard to sustainability. As I said before in detail, I said that this is our benchmark. We keep our promise and we do what we say and we say what we do. So that is why sustainability, our sustainability program and our targets and integration in our business strategy, this is all something that we will be implementing. And I think that over time, we will achieve these targets and the milestones getting there up until 2030. And I think that this will be appreciated, everything that we do. There are very few companies that have our businesses and expertise that can have such a great influence on fulfilling the United Nations sustainability targets when it comes to health and nutrition. There aren't very many out there. So Wolfgang, over to you.
Wolfgang Nickl: [Interpreted] Thank you for your question, [ Mr. Schroeder ]. I will reply to that and anticipate the next question. Now when we talk about provisions for the settlement, the rules are exactly the same as we have had last year's financial accounts or at the end of the half year. There has to be considerable probability and you have to be able to estimate the amounts. And again, as our auditors, we have come to the conclusion that this is not a given situation. And this is also, for example, the EPA assessment play a role here. And in other words, we continue to believe that we have 3 years of defense costs that have been set up in provisions. That's about 1/3 of the overall defense costs in provisions. As Mr. Baumann said, this shows you the extent of lawsuits in the United States. Now let me come to your question. When talking about the assessment of goodwill and impairment tests, here other rules apply. You have to consider the fair market evaluation. So you have to put yourself in someone other's, somebody else's shoes. In other words, if we take a look at other analysts and how they would assess a settlement. And here we have to consider goodwill and impairment tests. We assume something that was based on external -- data for an external settlement, but we did not have any impairment as a result.
Unknown Executive: [Interpreted] Thank you very much, [ Mr. Schroeder ], for your question. In general, the importance of glyphosate for Bayer and for agriculture: We do not publish the sales for active ingredients, but we had about EUR 5 billion in sales in 2019. And that was about half of this, we can assume, was for glyphosate. And of this 1/2, about 10% is in Europe. That's what you'd asked about. You asked about relevance in Europe. Now within Europe, as you know, we have requested recertification, and this has to be done 3 years before the approval expires since the 15th of December 2022. So we filed this request last December to be recertified. The whole [ file ] has to be submitted by mid-June, which we will do. And this would first go to the 4 countries that will assess this jointly, France, the Netherlands, Sweden and Hungary. They will assess the situation. And this will go to the European authority [ ECHA ]; and they will then issue a recommendation to the European Commission, which will then take the final decision. This is the first time, as far as we know, in this approval process that this is being done completely transparently as a result of an initiative which we started. We publish all of the minutes from all of the meetings. And this will be found in all of the documents. So general is available to the public, to interested NGOs, to the media. So this is fully transparent. And we believe that, based on scientific criteria, then it will clearly have to be approved or reapproved. You asked what would happen if it's not reapproved, if it doesn't get its license, if -- are there any alternatives? Well, I must say what we're talking about now is managing weeds. There are always alternatives. The question is are they any better. Are they safer? Are they more effective? Are they more sustainable? We, the entire industry, have been doing research on this for many years, trying to come up with something better than glyphosate. Up until now, we haven't found anything that is safer, more effective and more sustainable. We invest, compared to all of the other companies, we've been investing more, much more, in research on weeds, more than all of the other manufacturers. As you know, EUR 5 billion will be invested in the next few years, and a number of new formulations will be studied. I think it was last week or the week before last, we announced that the new effect for weed management has been determined or discovered. And this is now in a very early phase of development right now, but this is the first time in 30 years that we've come up with a new effect. And now we have to go through all the relevant studies, toxicology, environment, health, et cetera. We have to do all of these tests. It will certainly take another 10 years before such a product can be launched. And whether it's better or complementary to glyphosate, that's something that we will see over the course of these studies.
Michael Preuss: [Interpreted] Okay. The -- now we have [ Ms. Becker ], [ Ms. Jansen ], [ Ms. Kroesteman ], [ Mr. Tosi ] and [Mr. Geisler ]. And we'll see how we can manage this time-wise. As I said, 10 to 12:00, we have to stop, but let's begin with [ Ms. Becker ].
Unknown Attendee: [Interpreted] Yes, I will be very brief. I would like to know regarding the BASF litigation. Can you tell us more about this arbitration? You said, Mr. Nickl, about the IFRS 16 regulation. Can you tell us how this has affected the annual report of 2019? And then regarding your forecast, in your annual report you've said what you expect for the market. So why are Pharmaceuticals and Consumer Health below what is expected for the market?
Werner Baumann: [Interpreted] Thank you, [ Ms. Becker ]. I would like to briefly refer to the arbitration, and then Wolfgang Nickl will respond to your other questions. Well, we have differing opinions with BASF regarding any securities that are made contractually and also regarding any divestments according to antitrust law. And these things were not foreseeable beforehand. And thus far in our negotiations, we have ultimately not found a joint position as to how we should deal with these perspectives. And so given that, these arbitration proceedings has been initiated as was enshrined in the contracts. And we have had the first -- well, the first oral proceedings will not take place before the middle of 2021.
Wolfgang Nickl: [Interpreted] Okay, referring the beloved IFRS 16. As you know, this is regarding operating leases and I said around about EUR 1 billion effect on our results. The EBITDA effect, we also incorporated into our guidance at the beginning of the year, and we were talking about EUR 370 million. So marketing development, we have a guidance for Consumer Health. We are very happy with the 2.6% growth last year. We originally said that we would seek to achieve 1%. And at the Capital Markets Day, we said that we didn't -- we wouldn't catch up with market development. We actually had the target of 2022 with peers, and actually we succeeded with this last year. So when we look at our figures, we are around #2 amongst the top 7. And we are very pleased with this indeed, and I think we can build upon that. The 2% to 3% forecasts for 2020 are very much within our road map. The same applies for Pharmaceuticals. Last year, we had about 4% to 5% for the period of 2019 to 2022, and we have 5.6% now, so that is actually somewhat better -- quite a lot better. And for the year 2020, we are predominantly looking at growth in China which will be around 25%, which will be resulting in price changes and tendering and so on and so forth. So like I say, we're very much within our plans as announced at the Capital Markets Day.
Michael Preuss: [Interpreted] Thank you, Wolfgang. The next question, from Mr. Jansen.
Jonas Jansen;FAZ;Correspondent: [Interpreted] Just for clarification regarding glyphosate and what is stated in the annual report. Just bear with me so that I can find the particular passage. Yes, regarding the divestment of assets. So in a worst-worst case, what would be divested in the worst case? And then if we're talking about Essure, there is a mention of accounting provisions regarding claims from existing insurance protection regarding Essure and Roundup. So I wondered what exactly this is referring to here, the accounting provisions. Is this referring to the EUR 1.2 billion? Probably not.
Wolfgang Nickl: [Interpreted] Well, the first question, yes, you have understood this correctly. As I already said, we are considering all eventualities even if there is an extremely low probability of these things occurring. In normal business proceedings, we do sell assets if we no longer need a building and so on and so forth, but this is just something that is day-to-day business. But we don't have any further plans for divestments above and beyond that. And then I said EUR 1.2 billion. I think this is appendix 23, EUR 1.2 billion overall being a setback for defense costs. So I think we're doing about 30% there for glyphosate. And the rest is for other litigations, pending litigations, where we have to defend ourselves, but we haven't got any further provisions beyond that. And anything else can be found -- nothing else can be found in the annual report beyond that.
Michael Preuss: [Interpreted] Okay. The next questions, from the other side of the room, from [ Ms. Kroesteman ].
Unknown Attendee: Yes. I have a question about the new products you talked about. You talked about expecting sales growth in your agriculture business from new products in 2020. Could you maybe talk more about these new products, if possible particularly in Europe, and the expected sales growth? What will be the contribution of these products on sales in agriculture business?
Unknown Executive: Yes. Thank you, [ Ms. Kroesteman ]. So sales growth for the crop business in 2020 will be driven by 2 main regions. One is North America will be simply driven by an increase in acres or a return to the acres that were not planted last year. This, we expect between 10 million and 12 million additional acres, where we will benefit particularly with our corn and -- I'm sorry, corn seed and trait business and also to a degree from soybeans. And Latin America will continue to go, particularly with our fungicide business and our soybean business. In Europe, we do expect growth to continue on a significantly smaller basis than what we expect from North America. And here drivers are rather in the insecticide space. And we have 2 new insecticides on the market, particularly in the space of fruit and vegetables, that are being rolled out. And otherwise on fungicides would be kind of the main areas. What's also growing particularly strongly in Europe and grew last year and is forecast to grow again this year will be our corn seed business, which is more relevant for East Europe.
Michael Preuss: So as we are already with English, we have one follow-up question basically coming from the webcast. So we have [ Luenzo Tosi ] from new business media from Italy regarding the reregistration of glyphosate in Europe. So do you think that the EPA evaluation on the herbicide glyphosates that reaffirms there is no risk to public health will have a decisive influence on the registration process of this product in the United States or even in Europe?
Unknown Executive: It certainly doesn't harm. Whether or not really helps, I absolutely cannot say. I think the scientific authorities in Europe will form their own opinion based on all the data that's been applied that's relevant for Europe. But I'm pretty sure they will also look at what regulators around the world are saying. But they will at the end of the day form their own opinion.
Michael Preuss: [Interpreted] So I think we have a question from Mr. Geisler.
Hendrik Geisler;Kölner Stadt-Anzeiger;Editor: [Interpreted] Just a question about the sustainability goals. I was just looking at these. And Mr. Berninger, last year, at the "future for farming" congress said, regarding the sustainability goals, that an equal importance will be given to sustainability as to financial factors. But that is not reflected by the figures if you're only talking about 20%. So could you explain why you have made this decision? And then a second question, regarding the Annual Shareholders' Meeting of 2019. It's almost a year ago. Mr. Baumann, what impact did this decision have that you were not [ dismissed ]? Could you just explain a little bit about this?
Werner Baumann: [Interpreted] Well, thank you. For your first question, the sustainable goals are an integral part of our business strategy, on the same level as our financial goals. So Mr. Berninger's statement, [ who is sat behind you ], I can only agree with, also on behalf of the other members of the Board of Management. And the question is how we will have the incentive measures and how they will be designed. The Supervisory Board has taken a lot of advice from external bodies. And it is a very important issue to all of us, that the sustainability goals are also reflected in our remuneration systems and are enshrined therein. And so first of all, these are long-term targets. And of course, this is the major, the main part of our remuneration system. So this is very important, that this is reflected. Now the 20% that is incorporated in the performance factor, of course, that can be discussed further. And the Supervisory Board and the Remuneration Committee have been involved in some very intensive negotiations there as to how this will all be decided upon. And this will be proposed to the Annual Shareholders' Meeting for their authorization, so we'll see how they decide on this. So there is no right or wrong. The most important thing is that this is enshrined whatsoever. Secondly, the weighting of this, on a long-term basis, I think you can assume that what Mr. Berninger has said and what I have confirmed on behalf of the Board, that this will be decisive in our daily business. Regarding your second question, regarding last year's ratifications at the Annual Shareholders' Meeting. I can fully understand, and I said this at the time, that our owners, at the end of the day, were perhaps not happy with the way things were going with the losses and perhaps also as a consequence of the glyphosate decisions in that there were severe doubts as to whether due diligence had been fulfilled and whether we had really properly assessed the risks also in the preparation of the acquisition. So I can comprehend that vote. The question as to whether I was particularly happy about that, I think that is obvious. Of course, I wasn't, but that was the vote of the shareholders and we have to accept that. And I think it was important at the time for me and the other members of the Board that this was clarified also by the Supervisory Board as to whether we had fulfilled our due diligence obligations. And we -- there were a number of statements provided there, 2 independent statements that were available in a brief form at the Annual Shareholders' Meeting. And I have said at another juncture that, if we hadn't fulfilled our tasks, then of course I wouldn't be able to continue in my position. That responsibility would have been too large. So these are the effects on the company. And they are of a temporary nature, clearly. And that brings us back to the subject of processing the glyphosate litigations. And the impact of that was simply too great last year.
Michael Preuss: [Interpreted] So we have a final question through the webcast. The final question, a couple of questions, to Stefan Oelrich from Hélène Mauduit from Health Europe. So in English. In pharma, what are the new launches and the extensions of indication of already approved products expected for 2020, vericiguat and finerenone? Stivarga seems to have recovered from the 2018 flat sales. So how do you assess the situation now? And the last question is Xofigo is no longer listed among the best-selling products in 2019. Is its commercial future hindered?
Stefan Oelrich: Okay. So to get started, on our launches for this year. So we expect to submit for approval vericiguat during the course of the year. Launch would, depending on regulatory expedience, happen more in '21 than in 2020. And the indication will be that we will be submitting with is most likely to be heart failure and patients with reduced ejection fraction. For finerenone, we are waiting for, yes, the end of our pivotal trial. That should conclude in the first half of this year. And we would expect top line data somewhere in the second or third quarter of this year, depending on how fast we finalize this; and could then hope for regulatory submission in first countries end of this year or beginning of next year, which also would indicate a launch in '21. Launches for this year: In oncology, we're introducing -- after a positive CHMP opinion, we're expecting regulatory decisions for Nubeqa for Europe; and subsequently also a launch in Europe, which would give you the launch for Europe for this year. Then the second question was around Stivarga. And indeed we're very pleased with the development of Stivarga, which is predominantly driven by very strong demand coming out of China. We expect this demand to continue to remain strong. And then last but not least, on Xofigo. Indeed Xofigo has been not exactly meeting our expectations. That being said, it remains a very valid therapeutic options for patients with advanced metastasized prostate cancer that -- in the bones of patients. So we continue to see this as probably the best options for those patients, but some combination that was tested in the past which didn't show a therapeutic benefit but rather the opposite led to a more cautious use of the drug, which is why this is not as successful in overall as we would have projected initially.
Michael Preuss: [Interpreted] Okay, thank you very much. So I think that's pretty much right on time. Thank you for all coming. Thank you for taking time to be with us for the news conference and for following us on the webcast. We will also have a recording of this on the Internet this afternoon. And I hope you all have a great day, and stay well. Thank you very much. [Portions of this transcript that are marked [Interpreted] were spoken by an interpreter present on the live call.]